Operator: Greetings and welcome to Broadwind's Fourth Quarter and Full Year 2024 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Tom Ciccone. Thank you. You may begin.
Tom Ciccone : Good morning and welcome to the Broadwind fourth quarter and full year 2024 results conference call. Leading the call today is our CEO, Eric Blashford, and I'm Tom Ciccone, the company's Vice President and Chief Financial Officer. We issued a press release before the market opened today detailing our fourth quarter results. I would like to remind you that management's commentary and responses to questions on today's conference call may include forward-looking statements, which by their nature, are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may differ materially. For a discussion of some of the factors that could cause our actual results to differ, please refer to the Risk Factor section of our latest annual and quarterly filings with the SEC. Additionally, please note that you can find reconciliations of the historical non-GAAP financial measures discussed during our call in the press release issued today. At the conclusion of our prepared remarks, we will open the line for questions. With that, I'll turn the call over to Eric.
Eric Blashford : Thanks, Tom, and welcome to those joining us today. In a transitional demand environment, Broadwind delivered strong commercial and operational execution during 2024, culminating in full-year revenue and adjusted EBITDA of $143 million and $13.3 million, respectively. While we continue to experience a near-term pause in demand for new wind towers and oil and gas gearing during the fourth quarter, recent cost actions, together with stable demand and improved order activity across many of our diverse markets, resulted in a strong fourth quarter performance, which included revenue and adjusted EBITDA of $34 million and $2.1 million, respectively. Importantly, while fourth quarter demand conditions were mixed, our order rates increased materially during the period, with orders increasing 85% from the fourth quarter of 2023 to $37 million. Order growth was broad-based, moving higher across nearly all of our end markets. Orders within our heavy fabrications business saw continued strong demand for the adapters used to repower wind turbines, increased demand for our natural gas pressure reduction systems, and from our industrial sector, which includes our first sizable order in the hydroelectric market. Gearing orders nearly doubled year-over-year, led by increasing demand from the industrial and steel markets. Orders from our industrial solutions segment increased 21% year-over-year due to continued strength in the global gas turbine market. At a commercial level, we continue to expand our product mix within higher-margin adjacent markets. Quoting activity remains elevated in all segments, but most notably in our heavy fabrications and industrial solutions businesses, where we're seeing strong interest from the power generation markets. Interestingly, we're also beginning to see some meaningful activity from the oil and gas gearing market for the first time in nearly two years. We're pleased to see that the investments made in the quality certifications over the last year are generating new quote opportunities in bookings in the aeroderivative turbine and aerospace verticals. Operationally, we continue to prudently invest in equipment technology to improve our process capabilities, reduce costs and improve our profitability. We've upgraded key fabrication equipment in our manufacturing facilities as we seek to capitalize on demand growth, which includes recent orders for larger-scale towers ordered by our customers for 2025 production runs. Gearing continues to invest in quality and security certifications, such as the AS9100 and ITAR registrations earned in 2024, followed by the CMMC 2.0, a cybersecurity requirement for the defense industry, which we will achieve in 2025. Beginning in the first quarter of 2024, we undertook significant cost actions to align our structure with the current demand environment. These actions equated to about $4 million in annualized cost savings, which is evident in our 2024 results, and will continue into 2025. As demand conditions begin to improve, we believe these actions position Broadwind to realize improved operating leverage in 2025. Q4 revenue was behind the prior year quarter, primarily due to reduced activity within our wind and oil and gas markets. Our non-wind activity levels remain relatively stable as we see demand for our precision manufacturing capabilities across multiple markets, most notably in power generation and industrials. Within our heavy fabrication segment, Q4 revenue was $20 million, down 31% from a year ago, mostly due to the decline in tower production and natural gas pressure reducing systems or PRS, shipments, partially offset by increased sales of mining equipment. Gearing revenue was $7.6 million, a 31% reduction year-over-year, due to broad-based softness in the oil and gas and steel markets, partially offset by strength in mining and aftermarket wind. Industrial solutions revenue was $5.9 million, down slightly year-over-year, primarily due to the timing of certain aftermarket shipments into the natural gas turbine market. In summary, the operating performance of all divisions continues to be strong, as we quickly respond to demand fluctuations in business, while maintaining profitability. With that, I'll turn the call over to Tom for a discussion of our fourth quarter financial performance.
Tom Ciccone : Thank you, Eric. Turning to Slide 5 for an overview of our fourth quarter performance. Fourth quarter consolidated revenues were $33.6 million, compared to $46.6 million in the prior year quarter. This represents a 28% decrease versus the prior year quarter, as our production levels continue to be impacted by the ongoing pause within the onshore wind industry, as well as the extended slowdown within the oil and gas sector. Adjusted EBITDA margin fell to 6.4%, due primarily to lower capacity utilization, partially offset by the targeted cost reductions we took earlier this year. From an order perspective, we experienced a rebound in activity during the quarter, with consolidated orders of almost $38 million, representing our highest intake level in nearly two years. It should be noted that within all three segments, orders increased sequentially, quarter-over-quarter, and on a year-over-year basis. Turning to Slide 6 for a discussion of our heavy fabrication segment. Fourth quarter orders of $22.4 million are up both sequentially and versus the prior year period, as we continue to recognize orders related to wind repowering projects and strength within our industrial market. Fourth quarter revenues were $20.4 million, down almost $9 million versus the prior year quarter, reflective of lower power volumes, as well as lower PRS shipments. During the fourth quarter, we recognized adjusted EBITDA of $2.6 million, a decrease of $1.1 million versus the prior year period. Despite the decreased revenue levels, we were able to maintain our adjusted EBITDA margin as our drop in capacity utilization was partially offset by targeted cost actions taken towards the end of 2023 into 2024. Turning to Slide 7, gearing orders of $7 million are up sequentially and versus the prior year. Although we continue to experience softness in oil and gas demand, we've made investments in machine technology, which are capable of finishing products to tolerances within a millionth of an inch. This level of precision is needed to serve the aerospace and aero derivative markets. This technology, along with our expanded commercial team and new quality certifications, is bearing fruit as we win orders in these strategic markets, in addition to growth from legacy markets. Segment revenue was $7.6 million, down $3.4 million versus the prior year quarter. Q4 segment adjusted EBITDA was $0.1 million, a decrease of $1.2 million versus the prior year quarter. These decreases are reflective of the lower order intake levels we've experienced in recent quarters. Turning to slide eight. Industrial Solutions recorded orders totaling $8 million in the fourth quarter. The $8 million of Q4 orders, as well as the $27 million of full year orders, both represent record booking levels for the segment. The segment continues to experience strong commercial interest for natural gas turbine content, most notably for new gas turbines, and we've seen order strength continue into 2025. Q4 segment revenue was $5.9 million, and Q4 segment adjusted EBITDA was $0.6 million, both small decreases versus the prior year period. But it should be noted that in addition to the aforementioned order activity, full year 2024 revenue and adjusted EBITDA totals are both record levels for the segment. Turning to Slide 9, we ended the fourth quarter with total cash and availability on our credit facility of approximately $33 million. This is a significant sequential improvement resulting from a $13 million reduction in our operating working capital as we experienced an increased level of advanced payments from a major customer. The decrease in operating working capital drove strong free cash flow generation in Q4. Moving forward into 2025, we expect deposit balances to return to more typical operating levels. Finally, with respect to our financial guidance, today we are introducing financial guidance for the full year 2025. Given our current expectations and beliefs, we anticipate full year revenue to be in the range of $140 million to $160 million, and adjusted EBITDA to be in the range of $13 million to $15 million. That concludes my remarks. I will turn the call back over to Eric to continue our discussion.
Eric Blashford : Thanks, Tom. Now allow me to provide some thoughts as we enter 2025, beginning with our heavy fabrication segment. We believe that the domestic onshore wind tower activity will likely continue at its present rate through 2026. We are encouraged by the continued momentum in the wind repowering market as we are seeing sustained demand from our OEM customers for the adapters we manufacture, which are required to upgrade most legacy turbines. We believe that the new tariffs announced recently, combined with the existing anti-dumping measures in place, will continue to benefit the domestic wind tower manufacturers. We continue to reallocate production capacity towards stable, recurring project revenue streams across diverse end markets, with recent notable winds occurring in the mining and hydroelectric verticals. We are seeing increasing quote activity from the power generation space, especially for products supporting the nation's electrical infrastructure, such as the large transformers required to support the grid. We are excited about the launch of our newest model in the family of PRSs, the Broadwind Clean Fuels L-70, low-flow PRS unit. This is the third model in this product family and is now in customer field trials, with favorable results so far. We are seeing strong customer interest in this model and are increasing our production plan to meet the anticipated demand. Customers appreciate the unit's performance specifications, compact footprint, simplicity of operation, remote monitoring capability, and attractive price point, making it the ideal solution for industrial applications such as primary or backup power supply systems and/or pipeline integrity projects. In our gearing segment, we continue to execute our strategy to move beyond traditional gearing toward other precision machine products. We are pleased at the increasing level of customer activity we are seeing in various new markets, such as aeroderivative gas turbines used in data center primary or backup power, aggregate material processing, and large high-speed compressors, to name a few. Our content for these markets includes products such as air foils, fan blades, and impellers, in addition to our more traditional gearing and shaft products. We expect that the customer assuring efforts we've seen in 2024 will accelerate with the recently announced tariffs, and are well-positioned to provide customers a quick, high-quality, and competitive domestic alternative to their legacy suppliers. Additionally, the organization upgraded and brought online two additional heat-treat furnaces at our Pittsburgh location to address increasing demand and provide additional scheduling flexibility for our external heat-treat customers. In industrial solutions, the momentum that we've experienced in the gas turbine industry this year continued through the fourth quarter and remains strong as we enter 2025. Our key customers, which are seeing strong demand for gas turbine equipment and services, are reporting strong backlogs and are increasing their production capacity in response. Accordingly, quoting activity remains high, and we're adding resources in quality, procurement, and project management to respond to customer demand. As a reminder, our industrial solutions business provides supply chain solutions, custom fabrications, and control panel manufacturing for the growing combined cycle natural gas turbine market worldwide, which is driven by demand growth attributable, at least in part to data centers and other sources of increased electrical load. As a result, we achieved record orders again this year, surpassing the previous record set last year in 2023. In summary, I'm pleased with the strong operational performance from our team this quarter, as we continue to demonstrate strong execution on our strategic priorities. Our quality, quick response, and reliable deliveries continue to win new customers for us, particularly in the gearing and heavy fabrication businesses. We've reduced our cost structure during a transitional period for domestic onshore wind and oil and gas gearing demand, while retaining our key talent and continuing to work on vital activities like process improvement and product expansion. We're committed to keeping our people safe and productive. Our focus on team member safety has yielded a 55% reduction in our recordable incident rate in 2024, well below the industry average, and we had zero lost time incidents. We have five plants, 100% U.S. based, so we're prepared to capitalize on any opportunities afforded by the pro-domestic manufacturing policy backdrop afforded by the current administration. While potential impacts of both tariffs and renewable energy policy changes are unknown. We're optimistic that the new policies will support the necessary rebuilding of the country's infrastructure. We're encouraged by the pace of order growth within our core non-wind markets, which positions us for improved optimization of our manufacturing base over the coming year, as we build a firm foundation for steady, profitable growth, serving the power generation, infrastructure, and other key markets with high-quality precision components and proprietary products to capitalize on improved demand in the years ahead. With that, I'll turn the call back over to the moderator for the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from Eric Stine with Craig Hallam. Please proceed with your question.
Eric Stine : Hi, Eric. Hi, Tom.
Eric Blashford: Hi, Eric.
Tom Ciccone: Good morning, Eric.
Eric Stine : Good morning. So, first of all, just on wind, just to confirm, so I know in your release you were talking about expecting wind softness through ’25. But I believe, just to confirm, you said you kind of expect this to be the situation through ‘26, and I guess meaning some improvement in 2027. So, that would be first. And then second, can you just remind me of the visibility you've got for the GE work you're doing under the contract that you received a number of quarters ago?
Eric Blashford: Sure. Yeah, I see the demand as muted. Certainly, we can be optimistic beyond ‘25, but I'd expect ‘26 to be about the same as ‘25, just based on indications we're getting from customers and some conversations I've had with industry peers and whatnot. Regarding the visibility we have through 2025, we have, I would say, firm visibility through, really through the whole year 2025. We know exactly the towers we're going to build through September and have indications beyond that, Eric.
Eric Stine : Got it. Okay. And then maybe sticking with that, when you think about 2025, and I know you gave the guidance range, but how should we think about the linearity of that? Maybe helpful, just something on Q1, and then just the remainder of the year, given some visibility from wind, but also I would think, some visibility in your backlog across the rest of the business.
Eric Blashford: Sure. Well, I think wind is going to be relatively stable through the full year, except we did have some pull-in at the end of 2024 that we thought we were going to be able to recognize revenue in Q1 ‘25. So that benefited Q4 2024 to be somewhat detriment of Q1 ‘25. Not really hurting the year, but it actually moved some things around. So, I would say, regarding the pace of the year, I would say it's ratably increasing through the year. Q1 is going to be probably the lowest quarter because of the pull-ins. We had pull-ins, by the way Eric, not only in towers, but also in gearing and in industrial solutions. So, it made for a strong Q4, but a little bit of a softer Q1 based on the backlog we have. And then, I'd say, like I said, ratables through the year increases.
Tom Ciccone: Yeah. Eric, the only thing I would add to that is, in addition to kind of a ramping up throughout the year, I think Q1 will be adversely impacted by some lower production levels within our gearing segment, just as we start the year as we had some lower order intake quarters earlier in the year.
Eric Stine : Okay. That is very helpful. And then, maybe lastly, just sticking on the order front, it sounds like, I mean, certainly you had – I think you cited very strong quoting activity on your Q3 call, and obviously that played out with order strength in Q4. It sounds like you continue to see that quoting activity and maybe thoughts on what you see in terms of book-to-bill throughout 2025.
Eric Blashford: Yeah, it's exciting. You know frankly, it's nice to see what we've done in our non-wind markets. I know I've said on previous calls, we first set forth the process capability, so we built that up in multiple divisions. Then, we had the quality certifications that we won, the ITAR, the CMMC, the AS9100, the ASME Div. 2. So we have those all in place now, which customers want. And then, we've improved our sales force so we can reach these customers. So, it's nice to see that that really manifested itself in some strong quoting activity in Q3 and Q4. Now, the order activity is following that. We don't win them all, but we're excited about what we are winning, especially in the strategic markets like PowerGen, Arrow Derivatives, a little bit of Aerospace. That takes a little bit longer. And then, even medical.
A - Tom Ciccone: Yeah, in terms of book-to-bill, Eric, I think within our gearing segment, we can expect a book-to-bill greater than one. You know, within industrial solutions with a strong backlog closer to one. But in Heavy Fab, because we're working off the LTA and we're not announcing new orders, as you know, until we start announcing new orders or counting orders, that we probably won't be greater than one in terms of book-to-bill.
Eric Stine : Okay. Thank you.
Eric Blashford: Thanks, Eric. I appreciate it.
Operator: Our next question comes from Amit Dayal with HC Wainwright. Please proceed with your question.
Amit Dayal : Thank you. Good morning, guys.
Eric Blashford:  Good morning Amit.
Amit Dayal : Eric, just trying to understand from your previous release, you're saying project activity is low, but order activity has improved. Can you help us understand, what that means in terms of the setup you have right now?
Eric Blashford:  Well, if we're talking about project activity in terms of wind, wind is muted right now. We have a strong backlog. We've got good customer communications and visibility. But for new orders for wind, it would be somewhat muted. Is that the question you're asking? I want to make sure I'm answering the correct question.
Amit Dayal : Yeah, I'm just trying to reconcile those two things. So the project activity that you are talking about is more on the customer side, and the order activity is more on what you are from a backlog perspective, I guess, right? So just trying to see how these two are sort of balancing each other out or how they are impacting the guidance you've provided, basically.
Eric Blashford:  Sure. When we talk about project, we're talking about active orders that we have, and then we're talking about prospective orders and booking, which would be in the future. Future orders we expect. That's the whole positive book-to-bill that we're talking about. I think that's the answer to your question. Again, we've got good visibility on our wind backlog, wind production through most of 2025, and not only just towers, but we also have a nice backlog on the adapters that I mentioned in the press release, which are used to upgrade legacy turbines, so we're doing both. And those run down the same line, so that's good capacity utilization for wind. But the rest of it, we're entering with a pretty strong backlog in Industrial Fab outside of wind, quite a strong backlog industrial solutions that we mentioned before, and I would say a growing backlog in Bradford and gearing, because we did have soft orders in Q2 and Q3, and those are the orders we're actually building now in Q1 2025.
Amit Dayal : Understood. Well, that's helpful. Thank you.
Eric Blashford: Thank you.
Amit Dayal : You talked a little bit about tariffs. Is that already reflected as much as you can, I guess, in the guidance you provided? I mean, there could be some other developments that could impact this, but what would be some sort of the positives and the negatives that we should sort of keep an eye on as the year plays out from a tariffs perspective?
Eric Blashford:  Well, we're very transparent with our customers and our suppliers, and we've all kind of been through this before. So we understand how to deal with it. We quote, as you may remember, first of all, some of our products are pass-through. Wind as an example is pass-through, so any increases we would get would be automatically pass-through, for the most part, with heavy steel plate and whatnot. But outside of that, we quote to order. So we need to be very prudent in how we quote, make sure that the lead times and the quotes that we're getting from our suppliers are current. And then we're actually limiting the quote life of the quotes we're providing to our customers to make sure that we have time to react to any possible inflationary increases we get from suppliers. Again, we're transparent. We're going to pass them forward so we can maintain our margins.
Amit Dayal : Okay. So at least until – so far, the order activity, you haven't seen too much of a disruption in that process from this tariff-related news flow?
Eric Blashford: No. We really haven't seen anything other than customers are, let's say, the inquiries for onshoring. We used to get this from an offshore supplier, and we know that the onshore prices might be a little bit higher than an offshore foreign supplier, but we want to come back and make sure that we've got a refreshed quote from industrial fab or from gearing. So that kind of activity, our customers are looking out. And so I'd say our order activity is increasing as a result. Our booking, our queue activity is increasing as a result.
Amit Dayal : Thank you. Thank you. That's helpful. Just last one for me, you mentioned this hydroelectric offering.
Eric Blashford: Sure.
Amit Dayal : Is this sort of a new product, and could this become a steady stream of revenues, or is it a little bit like one-time type product?
Eric Blashford: Well, we think – what this is, is actually as hydroelectric dams are being refurbished. There's a lot of heavy fabrication that are inside these dams that need to be replaced, refurbished, repaired. And we're capable, because we have this capability as you know, to build large cylindrical type of things that are very precise and very robust. Our customers are coming to us for this. So I think it is repeating. These are for, these dams that are existing. So as the infrastructure in the country needs to be upgraded, and frankly, it all does, we do see this to be a repeating revenue stream. Not nearly as significant like would be towers or whatnot, but repeating, seven digits.
Amit Dayal : Understood. I mean, it helps with the capacity utilization aspect of the story.
Eric Blashford: It would definitely help, because it's essentially run down the same lines as the towers do, because big cylindrical things.
Amit Dayal : That's all I have, guys, for now. I will take my other questions offline. Thank you.
Eric Blashford: Thank you.
Tom Ciccone: Thanks Amit.
Operator: Our next question comes from Justin Clare with Roth MKM. Please proceed with your question.
Justin Clare : Hi. Good morning. Thanks, guys.
Eric Blashford: Morning, Justin.
A - Tom Ciccone: Good morning.
Justin Clare : Morning. So I wanted to just touch on the 2025 guidance. It implies mid single-digit revenue growth for 2025. And then just wondering if you could speak to the growth that you are anticipating for the segments. Which segments might grow faster than the corporate average, what might be a little bit slower? It sounds like gearing might be a little on the slower side, but if you could just give us a little bit more granularity, that would be helpful.
Eric Blashford: I would say as far as industrial solutions, I would say the pace of growth that we've seen over the last couple of years shows no sign of slowing down. And just a reminder, that's based on natural gas turbines and aeroderivative turbines, which is really the same thing, different size, across the world. And so as electricity demand increases, the demand for those products increases, and the demand for our products increases. So I'd say pace of growth would continue there, I'd suspect, through 2025. Gearing, starting from a bit of a slower start because of the orders that we had, or the lack of orders we had in Q2 and Q3, primarily driven by oil and gas, I do expect that to grow prospectively going forward, kind of ratably, but reasonably. Towers is going to be flat, as we indicated. So the growth that you are seeing, that we're guiding to, is really going to come from those other divisions.
Justin Clare : Okay, got it. And then when I look at the adjusted EBITDA margin that's implied for 2025, 9.3% at the midpoint, it's similar to what you guys experienced in 2024. So just wondering, it sounds like you're anticipating improvement in utilization. So is there a potential to lift that margin above that 9.3% in 2025? Maybe just speak to the opportunity there.
Tom Ciccone: Sure, that's correct. So at our midpoint, it's pretty close to where we end in 2024. And I think if we end up at the higher end of our guided range, there's definitely an opportunity there as we better utilize our capacity, our plant capacity. So I would definitely say that that's an opportunity.
Eric Blashford: But to add some color to that, Justin, the capacity utilization will benefit it. But as we pursue new markets, they tend to start a little bit slower with PPAPs. There's a lot of quality requirements that are required for some of these new customers and markets. So they tend to come with lower initial margins, especially with the smaller quantities. And then once you get your PPAP passed or your first run passed, then the customers tend to give us larger quantities, so we can use our machines on longer runs, less setups, and that would improve the margins. But that's part of the reason we have that built in is the expectation that it's going to come with increased PPAPs, which are shorter runs, a little bit more margin pressure on those.
Justin Clare : Got it, got it. Okay, understood. And then just thinking through the executive order on wind permitting that was put in place by the new administration here, wondering if that's had any effect on order activity that you are seeing. I'm guessing maybe not at this point, but I'm wondering if there could be an impact as we get into toward the end of 2025, end of 2026. In discussions with your customers, are customers’ potentially pausing projects? Are you seeing any delays? Maybe just speak to a potential impact there.
Eric Blashford:  Yeah, I'd say, Justin, that's really the root of the comments and the beliefs that we have that 2026 might be about the same as 2025. Just as a reminder, about 4% of wind projects are on federal lands. So those are kind of blocked off right now, which leaves 96% on state or private lands. So most of the wind activity is on – onshore wind activity is on state or private lands. Now, they still require FAA permits and to a certain extent EPA permits for environmental protection for wildlife and whatnot. So to the extent that that could be slowed down by a permitting slowdown for the federal government, that has the potential to slow projects, to slow projects, which is why we're thinking 2026 might be muted, meaning, the same as 2025.
Justin Clare : Got it. That makes sense. All right. [Multiple Speakers] Go ahead.
Eric Blashford: Yeah. Customers as you know developers, if there's uncertainty, it could cause them to pause. So customers are saying they really hadn't seen that yet, Justin, but there's always that that backdrop that it could happen.
Justin Clare : Got it. Okay. Thank you.
Tom Ciccone: Thanks, Justin.
Operator: We have reached the end of the question-and-answer session. I'd now like to turn the call back over to Eric Blashford for closing comments.
Eric Blashford : Yeah. Thanks everyone. I really appreciate your attention. We're excited about what's happening at Broadwind and we look forward to coming to you at the end of Q1 to report our earnings then. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.